Operator: Hello, and welcome to the Enthusiast Gaming Holdings Fiscal Fourth Quarter and Full Year 2023 Financial Results. All participants will be in listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to hand the call to J.B. Elliott, EVP, Strategy and General Counsel. Please go ahead.
J.B. Elliott: Thank you, operator. Good afternoon, everyone, and welcome to the Enthusiast Gaming fourth quarter 2023 results conference call. I'm J.B. Elliott, EVP Strategy and General Counsel. With me today is Interim Chief Executive Officer, Adrian Montgomery and Chief Financial Officer, Felicia DellaFortuna. We'll begin with some prepared remarks and then open the floor to questions. Before we begin, I'd like to remind everyone that today's presentation contains forward-looking information that involves known and unknown risks and uncertainties and other factors that could cause actual events to differ materially from current expectations. These statements should not be read as assurances of future performance or results. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements to be materially different from those implied by such statements. A more complete discussion of the risks and uncertainties facing the company appears in the company's management discussion and analysis for the three month period ending December 31, 2023, which will be available on the company's profile on SEDAR+ as well as on the company's website at enthusiastgaming.com. You are cautioned not to place undue reliance on these forward-looking statements, which only speaks as of the date of this presentation. The company disclaims any intention or obligation, except to the extent required by law, to update and revise any forward looking statement as a result of new information, future events, or for any other reason. Now I'd like to turn the call over to Adrian Montgomery. Adrian, the call is yours.
Adrian Montgomery : Thank you J.B., and welcome everyone. I stepped back into the role of Interim CEO of Enthusiast Gaming in early January following the resignation of our prior CEO. It has indeed been an eventful year, but what has not changed is that Enthusiast Gaming continues to have highly engaged communities of gamers and esports fans, and that makes us one of the leading media and entertainment companies for gamers in North America. With over 50 million monthly unique visitors, our audience attracts world class marketing brands that want to reach them and an enviable set of strategic partners such as the National Football League. Across our diverse portfolio of gaming and esports assets, we are prioritizing our strategy and resources around community engagement and we find engagement -- significant engagement across the span of our business. Engagement in U.GG, our data driven player insights platform, which is one of the top League of Legends fan communities in the world. In fact, U.GG is listed as a trusted partner of Riot Games and is one of three sites, only three sites with a link on the official League of Legends website. We have introduced our proprietary desktop app only this summer -- this past summer, which has already attracted over 2.1 million downloads and expanded into new titles like World of Warcraft and Valorant, driving even higher levels of engagement. Time spent per user in December was 5x from the same month a year ago. For all these reasons, U.GG is a market leader that is extremely well positioned for continued growth. We have engagement in the Sims Resource, the largest and longest running Sims fan community and content repository in the world. Interest in the game remains remarkably strong and fans continue to flock to our site to access our 5 million plus pieces of custom Sims content. The TSR community is also far more engaged than those of our competitors, with time spent per user on TSR being nearly triple that of our next largest competitor. We therefore believe that when we bring users to the Sims Resource, they will stay for the long run. We also expect the recently announced Sims movie, spearheaded by Margot Robbie to have a very positive impact on the Sims and on the Sims Resource, much as she and it did for Barbie, leading to continued growth and new heights for this fan community. The current trends of TSR support this thesis engagement in Icy Veins, which is one of the largest independent activision Blizzard fan communities in the world, generating over 100 million views of content in 2023 alone. The platform provides news and strategy guides for leading franchises like World of Warcraft, Diablo, Heroes of the Storm, Path of Exile, Final Fantasy. Icy Veins had an exemplary 2023, as it quickly became the primary destination for fans of newly launched blockbuster titles like Diablo IV and expansions like World of Warcraft: Season of Discovery. As an example, in the month of July, Icy Vein set a record of 5.9 million unique users. It is yet another growing and profitable market leading community for us. Engagement in Luminosity, our esports division, which operates professional teams competing in Apex Legends, Rocket League, Super Smash Bros. Ultimate, Pokemon Unite, amongst several other titles. Luminosity won 33 championships in 2023, up from 22 total championship wins over the prior 7 years combined. In 2023, this included our first ever World Championship, which was achieved by our Pokemon Unite team. We have been working directly with Pokemon to document that team's run to becoming back-to-back world champions. This past year, we also launched a new owned and operated Smash channel, which has quickly gained over 30,000 subscribers and over 15 million lifetime views. The average monthly views for this Smash channel put it on par with the largest esports teams in the world. Alongside this, Luminosity launched its live in person Smash event series with a license from Nintendo and will be returning for events in Toronto, New York and Miami. The success of Luminosity Smash event and expansion into coverage of their RLCS team on the Luminosity Twitch channel led to us being the seventh highest esports channel by average daily chat engagement throughout January and February of 2024, competing with professional publisher broadcasts and being the only esports team in the top 10. Engagement and Pocket Gamer, which hosts the Pocket Gamer Connects B2B industry events and is celebrating its 10 anniversary in 2024. We hosted the largest ever PGC conference in London in January. It was a must attend event that attracted over 150 sponsors and was attended by over 2,600 delegates and 1300 companies. Looking ahead, we have a long lineup of additional PG Connects conferences ahead of us as part of our 10 anniversary year, including Dubai in May and Helsinki in October. Helsinki is now our second largest event behind London, and it's now going to be a central part of Finland Games Week. We also have upcoming events such as the new Middle East and North Africa Games Awards in May, the Mobile Games Awards being held along Gamescom in August and the top 50 game developers, which is running for its 15 year in October. Engagement in Fantasy Football Scout, the world's leading fantasy football or soccer community, which provides award winning editorial, video, newsletters, podcasts and social media, plus premium data, tools and features to over 275,000 subscribers, including many paid subscribers. We also provide a variety of content, tools and services direct to the Premier League and UEFA, among others for their market leading fantasy games. This season, we've broken records for podcast downloads on FFS with over 5.5 million podcasts across our direct channel and our network, and we crossed the 500,000 mark for social media followers. FFS continues to grow its revenue and subscriber base. Across all of these assets lies a coveted community of gaming audiences, and we remain focused on those communities as our most valuable properties. Despite maintaining our focus on our communities and our audiences, it was immediately clear to me that we needed to move much faster and more decisively in order to position the company for sustainable profitability. We are doing just that. We have taken immediate and significant steps to focus on our core, which is building communities and creating and curating incredible content and experiences that engage our gamers and our esports fans. We are immediately focused on three key areas; one, profitable revenue, two, gross margin expansion and three, rightsizing the cost structure. The $10 million restructuring program announced in March was an important part of that effort and Felicia will walk you through that in greater detail in a moment. We have more work to do to get Enthusiast Gaming to where it needs to be. We have liquidity, but we need to strengthen our balance sheet. We have compelling assets, but we need to streamline our cost structure and focus on our best opportunities for durable success. The efforts to put us back on that right path are already underway and are not reflected in the fourth quarter results, but we are moving quickly and taking immediate and decisive action. On March 7, we announced the $10 million cost reduction program. On the 28 March, we announced an advertising technology partnership with Playwire in order to allow a global leader in monetizing sites to help us increase our yield and drive beneficial growth to our bottom-line. And this morning, we announced the sale of a small subset of certain non-core, non-profitable casual gaming site assets for a purchase price of over $4 million. These actions have led to the business regaining its focus. We are focusing on our most profitable revenue streams, specifically around our owned and operated properties and the most highly engaged communities that we serve. This focus is expected to lead to significant gross margin expansion and allows us to deprioritize areas of business that have lower gross margins and where profitability is less certain or non-existent. This focus means being disciplined on where we are spending our money. The underlying strategy remains the same though, leveraging a large and highly engaged audience to move toward a higher percentage of direct sales and robust brand solutions with less reliance on programmatic sales, which, however, are also expected to grow significantly in our owned and operated communities as a result of our recent partnership with Playwire. At Enthusiast, we believe we have the assets to execute this strategy but the first step is to ensure a sustainable business model. We've turned our direct sales into a material business from not even having a workforce in 2020 to a $40 million vertical in 2023. This is the key advantage of the portfolio in that it allows us to continue to demonstrate that the total of Enthusiast Gaming is much greater than the sum of its parts. And of course, one of the key cornerstones of our direct sales involves NFL Tuesday Night Gaming, our weekly gaming competition series in partnership with the National Football League. NFL TNG uniquely represents the intersection of gaming and sports culture, building the bridge between two distinct communities to create one unified viewing experience. Our collaboration on this proprietary content showcases how two leaders can come together to create the template for highly engaged user experiences in a brand safe environment. We are looking forward to doing it all over again with the NFL for an upcoming successful season, as well as to extend NFL like collaborations to other professional sports leagues in the short-term. We've increased our subscriber base, which is our highest margin revenue stream and therefore a direct contributor to profitability. And following a comprehensive organizational review initiated at the beginning of the year, we are expecting to operate with a streamlined and simplified cost structure at perhaps lower revenue, but with a significant reduction in our burn rate as we move towards sustainable profitability and conserving cash on an accelerated timeline. Enthusiast Gaming is a media and entertainment company for gamers. We are rooted in our highly engaged communities. We happen to own brands that are the best in their respective verticals in the world. We are built on servicing our Enthusiast audience. It has always been strong and we will focus on making it larger than ever and more highly engaged than ever. With that simple focus, the monetization opportunities will be significant, more programmatic advertising than ever, more subscribers than ever, more creative packaged solutions for clients than ever and much more discipline in our spend. That's the recipe to make this a high margin, sustainably profitable growth company. We have more work to do, but we are on the right focused track. Let me now turn the call over to Felicia.
Felicia DellaFortuna: Thank you, Adrian. This is my first call as the Chief Financial Officer of Enthusiast Gaming, having joined in mid-November. It became apparent that we needed to accelerate the changes being made to Enthusiast Gaming's business model and cost structure in order to enable sustainable profitability. The plan reflected stretch targets that were not attainable. The cost reduction initiatives were taking too long and we needed to do more to deemphasize certain low margin businesses faster as well as exit subscale operations that were unlikely to generate value in the near-term. So we took immediate and decisive action while sharpening our focus on 3 growth areas: direct sales, optimizing CPMs across our programmatic offerings, increasing subscribers. The actions that we announced in March are expected to generate $10 million in annual run rate savings and we will start to see material benefit to our financials beginning the second quarter of 2024. This is in addition to the $2 million in savings previously announced that we expect to realize from the NASDAQ delisting. I'd like to outline several of the major areas that will reduce costs while focusing on growth areas. First, as announced last week, we have outsourced ad tech to Playwire and will now be able to leverage their expertise in gaming and complete technology platform to power our network of gaming websites, channels and apps. We believe this collaboration will enable us to maximize the efficiency of our ad tech operations. Second, we've in sourced our production capabilities in order to be able to better and more cost effectively execute upon media and content sponsorships for our advertisers. Lastly, we've executed on a restructuring that has reduced our workforce by 25% relative to December 2023, while also better prioritizing investment in our growth drivers. Streamlining our business and saying goodbye to team members is never easy, but these changes will go a long way toward rightsizing our cost structure. They are helping us drive toward a significant improvement in adjusted EBITDA, which is now a KPI included in our filings that we are laser focused on. It is also clear that we need to strengthen our balance sheet. To that end, we have been evaluating our portfolio to ensure that all of our assets meet our priority for high margin revenue growth and sustainable profitability. And if not, we'll look for ways to monetize them. This morning's announcement that we find in asset sales agreement that $4 million of some of our non-profitable cash flow gaining assets help us accomplish there. We are also working closely with our lender to establish a mutually agreed foundation going forward. We feel confident in our direction we are taking the company because our audiences, our community is more engaged than ever. We extended our position as the number one gaming property for unique visitor traffic in the United States reaching 52 million unique visitors or 4% year-over-year growth based on the latest digital media ratings from Comscore in December 2023. Excluding Omnia, minutes per user increased by low-double-digits across our owned and operated and represented properties. Net revenue retention for direct sales at the end of the year at an average deal size of $50,000 plus was over 60%. Net revenue retention is calculated by dividing the direct sales, media and content revenue for the trailing 12 months from the close of the current reporting period from advertisers who were also advertisers at the close of the same period in the prior year. I'll speak on the numbers shortly, but first I note that results are presented in Canadian dollars. The significant majority of our revenue and expenses are measured in U.S. dollars and are translated into Canadian dollars for presentation in our financial statements. The exchange rate between the U.S. dollar and our presentation currency of the Canadian dollar should be monitored and considered when analyzing or forecasting our results. Additionally, it's important to note that the historical financial results don't reflect the cost reductions and changes in emphasis we've discussed. So, historical financials will likely not bear a strong resemblance to future results. Now turning to the financial results for the fourth quarter. In Q4, revenue was $47.1 million, a 13% decrease compared to $54 million in Q4 2022. Media and content revenue, which represents approximately 90% of total revenue decreased 13% to $42.6 million. The decline was primarily due to lower views on its video platform due to the strategic decision to deprioritize lower margin revenue lines. Esports and entertainment remained relatively consistent year-over-year. And finally, subscription revenue decreased 13% to $3.3 million. While the number of paid subscribers increased 1% to 268,000 as of December 31, 2023 and is up 2% as compared to December 31, 2022, there were a number of consumer marketing initiatives introduced that were not successful and are now being reversed. Gross profit was $18.9 million in Q4, up 5% compared to the $18.1 million of gross profit reported in Q4 2022. Gross margin increased from 33.5% to 40.2%. This gross margin increase reflects the greater contribution of direct sales and subscription revenue to our overall revenue profile, as well as the deprioritization of certain represented video channels. Total operating expenses were $27.8 million, down 8% from the fourth quarter last year. Operating expenses in Q4 include non-cash items of depreciation and amortization of $1.7 million and share based compensation of $1.2 million. Adjusted EBITDA loss was $13 million in Q4 compared to an adjusted EBITDA loss of $15.1 million in Q4 of last year. Adjusted EBITDA in the quarter excludes $2.6 million in severance and approximately $400,000 in public company costs such as annual NASDAQ listing fees and incremental D&O insurance costs that will no longer be shouldering as a result of our delisting from NASDAQ and SEC deregistration. Net loss was $39.7 million in Q4 as compared to $11.8 million in Q4 of last year. Our net loss for the quarter includes $38 million in non-cash impairment charges primarily related to goodwill and intangible assets. The write-downs which were non-cash were concentrated in parts of the business that we have either deprioritized or have restructured. Turning to the balance sheet. We ended the year with $6.9 million in cash as of December 31, 2023. We are working closely with our primary lenders on a long-term resolution to our working capital line of credit. Addressing our balance sheet is a primary focus for our management team. As of December 31, 2023, networking capital had a deficiency of $36 million. However, that included $22 million with Scotia and $6 million in contract liabilities bringing this to a net balance of $8 million, which we are addressing through our restructuring initiatives from early 2024. While the current landscape is challenging, we are focused as a management team on continuing to cater to our highly engaged communities, improving our financials so that we can be sustainably profitable and ensuring we continue to conserve cash and strengthen our balance sheet. And with that, I will pass back to Adrian.
Adrian Montgomery: Thank you, Felicia. And now I would open it to questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Today's first question comes from Griffin Boss with B. Riley Securities.
Griffin Boss : So I guess we'll just start out, curious if there's any more color you can give on advertising trends, maybe in the fourth quarter, but given that we're through the first quarter already too, maybe if you could talk about how those have been trending. From what I've seen at least on the display side, it seems like the ad market's been trending a little bit more positively in 2024, but wondering if we could get your thoughts on that?
Felicia DellaFortuna: Of course. So in looking at the overall programmatic trends, specifically as it relates to video, this is an area that we are deprioritizing as a result of the low gross margin profile. And so with that we've been impacted both on the number of views that we generate in a quarter as well as the CPM. And we expect as we move through the 2024 year, that those numbers will start to ease and we'll be able to start to see gross margin expansion as that becomes a lower percentage of our total revenue. With the web programmatic, we are seeing positive trends. In web programmatic, we have focused more on our owned and operated properties and less on sites that we represent, which is creating a decrease in views. However, it's being almost entirely offset by an increase in RPMs or CPMs. And that is a trend that we anticipate continuing as we work through 2024. We are hoping as well with the announcement alongside Playwire that this will be an area of opportunity for us in order to further optimize our yields specifically on our owned and operated sites.
Griffin Boss : And then I guess that transitions well into my next question on Playwire. So, just to get some clarity, is Playwire now managing all your SSP relationships and yield optimization efforts? I guess, if I recall correctly, I think enthusiast built its own ad tech stack and programmatic optimization platform. So just want to be clear if this means that you're no longer managing any of that in house and Playwire is now effectively managing all those efforts?
Felicia DellaFortuna : That's correct. And that was one of the areas where it was important for us as we maximized profitability in order to reduce the cost structure associated with it and partner with the experts. So we will still be maintaining our direct sales and programmatic, but they will be owning the relationships with the individual SSPs.
Griffin Boss : And then, just if I could sneak one more in. Felicia, did you said -- you talked about NRR, the net revenue retention for direct sales. Did I hear that correctly? Did you say it was 60% or was that 160%?
Felicia DellaFortuna : It's net revenue retention and it's so -- it's 60%. So for any advertiser that spends $50,000 and above, we look at the trailing 12 months of the current year, which is 2023, relative to what that advertiser spent last year. So for any advertiser that has returned, we've showed 60% of that revenue has been retained.
Operator: [Operator Instructions] The next question is from Robert Young with Canaccord Genuity.
Robert Young: The 25% reduction in headcount, maybe I'll start there. If you could give us a sense, is that incremental to the $10 million, that's within the $10 million I assume. And then maybe to take that one step further, I know that Q1 typically sees a seasonal slowdown and so I would expect that EBITDA would be negative in Q1 given the $10 million impact is in Q2. But when would you expect to see a material improvement in EBITDA? I mean, potentially even getting when you forecast that you might get positive given all these changes?
Felicia DellaFortuna : So to answer your first part of the question, so yes, the headcount reduction of 25% was included in the $10 million. And so as it relates to the $10 million, we wanted to make sure that we were reducing our fixed infrastructure, in order to better maintain profitability as we move through the year. So in 2024, we are anticipating there to be more traditional advertising seasonality, because direct sales and programmatic will be a larger percentage of our total revenue. And with that seasonality, we are expecting Q1 to be the low point. And then as we move through the year, we are anticipating sequential improvement not only in gross margin expansion as we're able to show the scalability of our revenue lines as well as the change in mix, but also as we are able to scale revenue with the fixed cost structure that we're putting into place that will be largely effective at the start of Q2. And so in thinking about overall profitability, you would start to see those trends beginning in Q2 with back half heavy profitability for the year.
Robert Young: And then the sales of assets that you announced this morning, is there any -- can you give us any sense of how much revenue you're foregoing related to those or if there was any profitability related to those?
Adrian Montgomery: They were unprofitable, probably to the tune of $1 million EBITDA loss last year. And I think they'd represent probably 2% or less than 2% of the overall revenue mix. So we felt it was pretty accretive on that basis.
Robert Young: Maybe two more, if I could. Just if you could clarify the gross margin cadence that you had just shared a couple of minutes ago, I'm not sure I picked it up, but I understand maybe gross margin is impacted negatively in Q1 and then recovers through the back half of the year, would that be a good way to model it or did I -- maybe did I misunderstand?
Felicia DellaFortuna : No. So, I mean, as the video programmatic becomes a lesser percentage of total that drag on overall gross margin should show improvement in our gross margin. So we should be showing gross margin percentage point expansion beginning in Q1 2024 relative to Q4 2023. And as we move through the seasonal uplift of the year, I would expect that gross margin expansion to continue.
Robert Young: And last question is just the decision to move towards Playwire. Does that have any short-term impact on the direct sale business? Like does that cause a gap or slowdown efforts in direct sale? Or should that be invisible? And I'll pass the line.
Adrian Montgomery: No, that does not affect it. And in fact, that was one of the areas, that we sought and received a lot of comfort from Playwire. As we said in the remarks and you know from following us from early days, direct sales is a $40 million book of business for us. We wanted to retain the independence and autonomy to pursue that. Knowing that Playwire has a direct sales force and can introduce direct sales for our owned and operated communities, in particular, in other parts of the world, in Europe and Africa, Australasia, et cetera. And they work with a number of companies. They've worked with chess.com in the past. They work with Redfin. They work with significantly bigger companies than ours. And they managed to have their direct sales team and Redfin's direct sales team coexist, and it seems through their customer referrals, which we were studious about that, it actually works to the company's benefit to have both those forces working in the marketplace. So we actually are really excited about the Playwire relationship because not only does it address cost efficiencies that we can exploit, but we also believe that there will be significant revenue and margin growth as a result of this relationship.
Operator: [Operator Instructions] The next question comes from Kevin Krishnaratne with Scotiabank.
Kevin Krishnaratne: Just first couple of questions on revenue. Just if we look at the brand solutions revenue, it was up kind of 8%, I think in 2023. How do you think about how that looks in 2024? What are you thinking about there in terms of you gave the metric of the revenue retention was 60% in '23, does that improve in '24? Just any high level thoughts you can give us on how to think about the growth in this business for '24?
Adrian Montgomery: We're anticipating growth in excess of what we reported in 2023. And I would perhaps wear off script and suffer the potential ire of my CFO. But, while we're very proud of the retention number, and again and we spoke about this at your conference, Kevin, that retention number is a tremendous point of validation that our solutions and our ability to help brands activate with younger audiences through gaming works. Otherwise, they wouldn't come back to us. And now we're dealing with the Disneys, the movie studios, the NFLs, et cetera, et cetera. So that retention figure is important, but we also want to start putting the growth back on steroids, and we would want the overall pie to increase. And as gaming becomes a more mature portal for youth engagement, we also want to see that retention number perhaps be compromised by bringing newer and newer brands into the space. But again, it's always grown. We wanted to continue to grow. We think we're well positioned to do that.
Kevin Krishnaratne: If I switch to the programmatic base and look at what you did in 2023, can you just talk about how to think about the maybe the percentage of the programmatic revenue that is going to be deemphasized? Just trying to understand maybe if you could talk about owned versus non-owned assets because I think as you've mentioned, the revenue mix might change, but the gross profit will change. So just if you can help us just understand how much of that revenue in programmatic could be kind of a headwind to revenue in 2024, but then you get it back on better margins if you understand me. Any help there just for thoughts for 2024?
Felicia DellaFortuna : So as I look out to 2024 and specifically as it relates to the media and content revenue line, I would anticipate as video programmatic becomes a lower percentage of the total revenue mix that in the first half direct sales and web programmatic tend to be the majority of the revenue mix and fairly equally distributed across the two lines. And I think within the web programmatic line specifically, because we have now created so much owned and operated scale, right? Adrian had noted some of the metrics on U.GG in terms of time spent per user and across TSR as well as with ICB. We do expect that the owned and operated sites will become the majority of the revenue itself. And as we move through the year, we do expect to have easing comps as some of the represented sites left at the back half of 2023.
Kevin Krishnaratne: On that maybe just the last one for me. I might not have heard it properly on your adjusted EBITDA, maybe I have in my model here that in Q3 you did negative $4.4 million and then last Q4 negative $5.7 million adjusted EBITDA loss. What's the comparable adjusted EBITDA loss number that you reported in Q4?
Felicia DellaFortuna : So in Q4 2023, it's negative $3 million of adjusted EBITDA. And in calculating our adjusted EBITDA, I just want to be clear, we have only included or only including two add backs, severance being one of them and the second being the NASDAQ delisting fees. And there is a walk that is going to be included in the financial statements that will show that for all of the historical quarters.
Operator: Thank you very much. This concludes our question-and-answer session. I'd like to turn the call back over to management for closing remarks.
Adrian Montgomery: Thank you, and thanks to everyone who participated in the call. We're very appreciative of the support we receive from our stakeholders and we are continuing to focus on the path to building the sustainably profitable business, build it from the audience out, the community out, and we're confident that we're going to succeed. What I would like to leave the call is by thanking a very important stakeholder, which is our employee base, to all the enthusiasts that have embraced the change, embraced the circumstances both macro and micro, who show up to work every day and give it their all. And we're so, so appreciative and we benefit mightily from your talents, your passion and your dedication. And so thank you to the enthusiasts, who work so hard to make us a better business every day. And with that, I would conclude the call. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.